Operator: Welcome to the Fourth Quarter Globalstar, pardon me. Welcome to the Fourth Quarter 2012 Globalstar Incorporated Earnings Conference Call. My name is Allen, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Carolyn Capaccio of LHA. Ms. Capaccio, you may begin.
Carolyn Capaccio: Thank you, Operator. Good afternoon, everyone. Thank you for joining us for today’s conference call to discuss Globalstar’s three months and annual results for the period ended December 31, 2012. Before we begin, please note the following. This call may contain forward-looking statements within the meaning of Federal Securities law. Factors that could cause results to differ materially are described in the Safe Harbor section of today’s press release and in Globalstar’s SEC filings including the annual report on Form 10-K for the period ended December 31, 2012 which is anticipated to be filed tomorrow. The press release, this conference call and the associated slide presentation which is available on the Investor Relations page of Globalstar’s website include discussions of certain non-GAAP financial measures as defined under SEC rules. The press release provides the reconciliation of each of those non-GAAP measures to the most comparable GAAP measure. Please note that the information on this call is accurate only as of today, Thursday, March 14, 2013. Today’s press release contain certain financial information is available on the company’s website at www.globalstar.com. Later today an audio recording of this conference call will also be available via telephone dial-in and a webcast recording along with the copy of the slide presentation that will also be made available on the company website. Today’s call is being presented by Mr. Jay Monroe, Chairman and Chief Executive Officer; and Rebecca Clary, Chief Accounting Officer and Corporate Controller. Joining Jay and Rebecca for the question-and-answer session will be Tony Navarra, President of Global Operations; and Tim Taylor, Senior Director of Finance. Now it is my pleasure to turn the call over to Jay Monroe. Jay?
Jay Monroe: Good afternoon. We made tremendous progress throughout 2012 and we’ve started off 2013 with the final launch of second-generation satellites. Globalstar is the first MSS provider to successfully launch a second-generation constellation of LEO satellites, placing us years ahead of our competition. Later on the call, I will provide you with more information regarding last year’s accomplishments and what we have in store for 2013. But, first, I'll turn the call over to Rebecca Clary, our recently named Chief Accounting Officer, who will provide you with a complete overview of our fourth quarter and full year financial results. Rebecca?
Rebecca Clary: Thank you, Jay, and good afternoon, everyone. As shown on slide three, Globalstar reported adjusted EBITDA of $2.5 million for the three months ended December 31, 2012, compared to adjusted EBITDA of $1.6 million for the fourth quarter 2011, an increase of $900,000 or approximately 50%. The improvement in adjusted EBITDA resulted from an increase in revenue of $1.5 million offset by an increase in operating expense of $0.8 million, excluding EBITDA adjustments. Adjusted EBITDA for the full year 2012 was $9.8 million, an improvement of $16.2 million over 2011. The company reported a net loss of $19 million for the three months ended December 31, 2012, compared to a net loss of $33.7 million for the fourth quarter of 2011. The change was due primarily to the impact of non-cash derivative gains in the fourth quarter of 2012 compared to losses in the fourth quarter of ’11. Offset by an increase in depreciation expense as the company place additional satellites into service throughout 2012. When comparing the full year 2011 to the full year 2012, the company’s net loss increased by $57.3 million to $112.2 million due primarily to non-cash items, including a reduction in derivative gains and an increase in depreciation expense, as well as an accrual for our contract termination charge and an increase in interest expense. Revenue was $19.1 million for the fourth quarter of 2012, compared to $17.4 million for the fourth quarter of 2011, an increase of approximately $1.7 million or 10%. This increase was attributable primarily to gross and service revenue associated with the expansion of our total subscriber base and a significant improvement in ARPU for our Duplex subscribers. For the full year 2012 and excluding the revenue recognized from the termination of our Open Range agreement in 2011, total revenue increased 8% or $5.5 million to $76.3 million from $70.8 million during 2011. Service revenue grew 13% to $15.3 million for the fourth quarter of 2012 from $13.6 million for the fourth quarter of 2011. This improvement was driven by $1.1 million or 20% increase in SPOT service revenue coupled with $600,000 or 14% increase in Duplex service revenue. Duplex service revenue increased due primarily to conversions of subscribers to plans at higher rates reflecting the improve service levels from our constellation. Rate conversions will continue to be an area of focus through 2013. However, our principle focus will be adding new subscriber to be on higher monthly rate plans than our current ARPU levels. This strategy has started to take effect as Duplex ARPU improved from an average of approximately $16 in the first half of 2012 to almost $19 in the second half of the year. Furthermore, total Duplex usage on the network in the fourth quarter of 2012 increased 17% versus the prior year’s quarter. We view this as a leading indicator of future revenue growth from our Duplex business. Subscriber equipment sales were $3.7 million for the fourth quarter of 2012, compared to $3.8 million for the fourth quarter of 2011. Although, Duplex equipment sales nearly doubled and Simplex sales increased 12%, there was an offsetting decrease in SPOT sales as compared to the fourth quarter of 2011. We have continued to see comparative declines in SPOT equipment sales from 2011 due to the timing of demand for certain SPOT products released in the prior year. The increase in operating expenses for the quarter excluding EBITDA adjustments was due primarily to expenditures to support our enhance sales and marketing effort, and certain regulatory expenses related to the SEC petition process. Looking forward to 2013, we expect that our ability to leverage our stored Duplex service, as well as marketing strategies around new and existing products will result in revenue growth particularly in the second half of the year. Furthermore, we expect to continue to control operating expenses, even as we judiciously invest in sales and marketing programs, as well as new products, which Jay will comment on later. The filing provides an update of the company’s current liquidity position. During the fourth quarter, the company drew a total of $22.8 million from our contingent equity account, leaving a remaining balance of $1.1 million as of December 31, 2012. Additionally, in late December, we entered into an agreement with Terrapin Opportunity Fund structured as an equity line whereby we can draw up to $30 million over a two year period subject to certain conditions. No draws have been made to date. We ended the year with $11.8 million total cash on hand. On December 31, 2012, the company also held $46.8 million in our debt service reserve account. Although, the use of this account is restricted primarily to pace certain debt related obligations, the required balance in this account fluctuate overtime based on future principal and interest commitments. For example, the required balance which reduced in the fourth quarter further terms of our facility agreement which allowed us to draw $8.9 million from this accounts in January 2013 to fund certain force launch related costs. With respect to debt related obligation and covenants we are currently seeking to amend the Coface Facility agreement to properly align future commitments with the company realize launch schedule and business plan. Among other items, we are seeking to adjust the timing of our debt obligation and to revise financial and non-financial covenants to appropriate level. As previously announced, we are also currently negotiating with the holders of our five and three quarter’s notes to restructure the terms of these notes prior to the April 1, 2013 put date. In addition to these debt obligations, we also have contractual capital obligation owe to our launch services provider and certain other major contractors. As has been the case over the past several quarters, our current sources of liquidity are not sufficient to meet these obligations without additional financial or amendments to these contracts. We look forward to providing further updates on our capital raising and contract negotiation process as they are available. I will now turn the call back over to Jay.
Jay Monroe: Thanks, Rebecca. On February 6th we successfully completed our fourth launch campaign with technically perfect launch from the Cosmodrome in Baikonur, Kazakhstan. All previously launched satellites are in commercial service and final satellite from this fourth launch have successfully initial testing. We placed two of these recently launched satellites into commercial service at the beginning of March and we expect to place the remaining satellites from the fourth launch in service sequentially as planned over the next few months. This was our 12th successful launch on the Soyuz vehicle with our long standing partner Arianespace and their affiliate Starsem, all 12 have been perfect. As our coverage and quality improves with each new satellite, our duplex minutes of use and ARPU are both on the rebound. This will be a very exciting year. I’d like to shift gears for just a moment and update you on our progress before the Federal Communications Commission. As you know, we filed a petition for terrestrial authority with the FCC on November 13th, and the commission quickly placed it out for public notice. The FCC received comments in January and the comment cycle is now officially closed. While certain interested parties filed initial comments to our proposal, we actively provided additional information, including through a webinar entitled Globalstar's New Wi-Fi Super Highway. As a result of these proactive steps to clarify our proposal, most of their questions were answered since few reply comments were subsequently filed with the FCC. Any remaining concerns regarding our near-term plans to provide terrestrial service, including the innovative terrestrial low power service which some refer to as Channel 14 Wi-Fi or TLPS are quite manageable and will be handled in the rulemaking. We’re expecting from the FCC shortly regarding how the plans will proceed with our petition. And we continue to believe that they will issue a Notice of Proposed Rulemaking in the near-future and complete the proceeding by year end. As we have discussed before, Globalstar's TLPS offering would dramatically expand the nation spectral capacity and relieve existing Wi-Fi congestion, what the Chairman of the FCC calls the Wi-Fi traffic jam. This can happen immediately by using ubiquitous existing Wi-Fi devices and infrastructure on our proposed TLPS network. We expect this service to be managed over a carrier grade network of access points in a controlled fashion to maximize the throughput capacity of the service. And so that not to interfere with our satellite operations or any other wireless services in adjacent bands. Although we are not prepared to provide many details at this time, we are in discussion with potential partners regarding this opportunity. These discussions are leading to field trials in various areas of the country. Globalstar and its technology partner Jarvinian have filed for experimental licenses with the FCC to test TLPS with these companies in geographic areas. But just to be clear, we're first, foremost and always an MSS company and our satellite service offerings will grow dramatically with our new constellation. That said, we believe the FCC wants everyone to optimize the use of all spectrum assets and for us to use our spectrum as intensively as possible terrestrially, as we fully utilize all of our channels for MSS offerings now. We fully expect terrestrial services if approved to augment our revenue and income streams driving additional returns for investors and support our continued provision of critical mobile satellite services. With the launch campaign successfully completed, our corporate focus is now squarely on sales and marketing. Late last year, we announced the appointment of Frank Bell to head our global sales and marketing efforts. Frank and his team have developed a targeted go-to-market plan, which we are very excited about implementing this year and beyond. The users of voice services via satellite have always acknowledged that Globalstar offers the finest voice quality. Our voice quality isn’t just good or acceptable, it is simply outstanding. More on that point at the end of this presentation. In addition, we have led the industry in establishing innovative pricing plans for both equipment and service and given this winning combination of service quality and price who would ever purchase competitive products. And our service often costs as little as 25% of competitive offerings. Our equipment cost is in some cases less than 50% of the competitions. And our voice quality is vastly superior. Expect announcements of new products for the voice and duplex data market during 2013. Our SPOT and Simplex business is completely different from Duplex. Here we expect to win in the marketplace by leveraging our 10,000 points of retail distribution and our loyal customer base and by introducing four exciting new products over the next 12 months or so. Shortly we plan to introduce the new SPOT Gen 3 personal tracking device, which will be smaller and more feature-rich than its two predecessors with two times battery life. We expect two additional SPOT derivative products addressing entirely different tracking applications in used cases, both of which are targeted at the consumer retail marketplace. These are to be introduced within the next year. One of these products in the near-term pipeline is a new consumer tracking device that will broaden our market for inexpensive tracking of anything, anywhere, anytime. These Simplex and SPOT products plus additional Duplex products will use the retail distribution channel that we have painstakingly built over the past five years and a customer base of over 500,000 to substantially increase our consumer retail revenue going forward. Much of this increase, we expect to occur beginning in the third and fourth quarters of this year. And with over 250,000 SPOT units sold, our subscribers are now using SPOT to initiate on average, more than one rescue every single day, somewhere around the world. With over 2,200 rescues to our credit, SPOT is part of our corporate DNA. On the commercial Simplex and M2M front, we are introducing the STX3 during the second quarter. It is smaller, lighter, less expensive and more power efficient than the STX2. We expect the entire STX family to remain our core M2M solutions for this fast-growing segment of the MSS market. The STX3 will be much easier to integrate by wars and whams into their final product. Given the small size, low power requirement and ease-of-integration, we expect a large growth opportunity for marring this very small and inexpensive device, the hybrid cellular satellite products for a wide range of commercial and consumer tracking applications. Before we go to questions, for any of you out there, our customers, our investors, our channel partners or others, that may still be wondering if Globalstar is really back or whether we will really be successful in the marketplace. So I have one last announcement to say after this. This conference call has been taking place over the new Globalstar satellite network. That’s right and what is probably unprecedented, everyone is experiencing first-hand the incredible clarity and quality of this billion-dollar investment made over the past five years in this second-generation network. We encourage you all to compare us to any competitive offering. With that, we now must transition to our rather inferior landline service, so we can listen to this call, speakerphone and answer any questions that you may have. You have 30 seconds to transition. One last thing, welcome to the new Globalstar. Operator, please queue up the first questions.
Operator: (Operator Instructions) Our first question comes from Marco Rodriguez with Stonegate Securities. Please go ahead.
Marco Rodriguez - Stonegate Securities: Good afternoon guys. Thank you for taking my questions. We’ll equate just in regard to liquidity here and the convertible notes that are due here. And given your recent equity line that you also have available, I wonder if you can probably give a sense, also with the negotiations, which are level of comfort?
Jay Monroe: Yeah. Sure. Marco, in terms of the equity line that's more or less restricted, it funds into the company over a long period of time. That is essentially not available to satisfy any amount that’s put come April 1st. In terms of our comfort level on the five and three quarter process and we talked about this publicly. But of course there's 72 million that is able to be put on April 1st, just a couple weeks from now. We’re in negotiations with the holders of these bonds to execute a multiyear extension of the April 1st put date. We don't have anything to publicly announce yet. We’re confident that we can get something announced within the next couple of weeks and can share any specifics on those confidential negotiations but are expecting to be able to announce something successful in the coming weeks.
Marco Rodriguez - Stonegate Securities: Great. And can you give us a sense, how long have you been in negotiations with them?
Jay Monroe: This goes back months and months. I think it was first publicly announced in late August or early September. And it’s a complicated process of course. And that’s coming down the 11th hour but I think we’ll have something positive to announce in just a couple of weeks.
Marco Rodriguez - Stonegate Securities: Okay. Great. And then switching gears to your duplex services, on the call you mentioned an adjusted revenue growth number excluding the open range revenues in ‘11 and about 8% revenue growth. And obviously you have an updated duplex service. How are you guys thinking as far as revenue growth? Are you thinking somewhere in the teens?
Rebecca Clary: Well, we don’t give specific guidance in terms of our revenue growth. But we do expect to see growth in 2013, particularly in the second half. As we complete the deployment of our constellation and we are able to execute from a sales and marketing perspective, our go-to-market strategy through the new product introductions that Jay referred to. All of that, the timing of that will really drive subscriber growth. And as those subscribers are coming on, they are coming on at our current higher-priced rate plans that that’s going to really ramp up duplex service revenue.
Marco Rodriguez - Stonegate Securities: Okay. That’s fair. And so in terms of revenue growth, are you going to -- are you either modeling or assuming receiving more growth coming from an increasing ARPU or from the subscriber count, can you give us some kind of a sense there?
Rebecca Clary: Really, if you look at our current rate plans, the lowest rate plan that we are offering is in the $25 range and we are currently at ARPU levels between $18 and $19. So that will give you a sense there. And then on the subscriber front, I mean we are just -- we are really positioning ourselves to be able to penetrate the market once our constellation is fully deployed. And as I mentioned our go-to-market strategy is executed. So we will see revenue from both sources.
Marco Rodriguez - Stonegate Securities: Okay. Perfect. And then, maybe you can provide a little bit more color in terms of the go-to-market strategy that you guys are going to start to implement here. Is that going to be coming out slowly here or are you ramping up very fast? Any kind of color there you can provide?
Jay Monroe: Marco, sort of qualitatively, we're investing substantially more this year than last year in both, the marketing of the products, the personnel in the sales and marketing department, marketing and sales support and of course and Frank himself, in order to give him the resources he requires in order to be successful in this coming out year for Globalstar. So there will be a lot more going on that is visible and what is most visible, of course is what happens in retail channels and the consumer market channel. But that, which is going on with our long-term vertical market resellers, dealers and agents happens a little behind the scenes but is a powerful propellant to what we do in 2013.
Marco Rodriguez - Stonegate Securities: Got it. And then, I’ll ask a question here. In regard to the marketing and G&A spend during Q4, was down sequentially. Was there anything driving that or is it just a new base we should be modeling off of?
Rebecca Clary: It was down from third quarter to fourth quarter prior to them.
Marco Rodriguez - Stonegate Securities: Yeah.
Rebecca Clary: Yeah. So in terms of looking forward to 2013 from an operating expense perspective, we do intent to make certain investments to support our sales and marketing efforts. So, I don’t know if it’s completely appropriate to use fourth quarter as a run rate for 2013. I mean, we expect to keep our operating expenses flat other than those sales and marketing investments. So just keep that in mind remodeling.
Marco Rodriguez - Stonegate Securities: Okay. And so, are there any one-items that maybe weren’t spent in Q4 there?
Rebecca Clary: No. Actually, third quarter was a little bit inflated because we had to look at the EBITDA adjustments. We had some write-off of deferred financing costs and some other expenses that probably should we taken out of that number and normalize it a bit.
Marco Rodriguez - Stonegate Securities: Got it. All right. Thanks a lot, guys.
Rebecca Clary: Welcome.
Operator: (Operator Instructions) Our next question is from Jim McIlree with Dominick & Dominick. Please go ahead.
Jim McIlree - Dominick & Dominick: Thank you and good evening. Can you talk about the capital needs in 2013 and I'm not talking about the balance sheet issues, but satellite costs and ground infrastructure costs that are due in 2000 -- or planned in 2013?
Tim Taylor: Sure. Sure, Jim. So let’s start off with the liquidity that we ended 2012 with total cash balance at December was just about $12 million. We had $1.1 million remaining in the contingent equity account. $30 million available under the Terrapin equity line, which of course gets tapped overtime. About $47 million in the debt service reserve account, that’s of course restricted as well. But as Rebecca mentioned, we were able to draw a portion of that in Q1 and about $700,000 remaining payable to Telus in the COFACE facility. So total liquidity at the end of December was a little over $90 million, however, of course Terrapin funds in the DSRA are very much restricted. In terms of what we've done so far in Q1, most of the capital needs have been directed toward satisfying the launch for related costs, including $8.6 million to Arianespace and a little over $9 million to satisfy the launch insurance, so just about $18 million. Going forward, there is total round commitments in 2013 of about $30 million on top of as currently are structured $16.7 million of debt obligations in June and another approximately $17.5 million in December. Finally, there's ongoing cash interest associated with COFACE facility of about $17 million on top of about $4 million in the 5.75% notes cash interest. As we’ve talked extensively, we are looking to significantly amend the COFACE facility such that started the repayment period, will be significantly after June of 2013. We have not come to an agreement yet, but certainly hope to prior to the June repayment date. In addition to that, we've also made extensive amendments to our other large capital obligations over the last couple of quarters and years. And expect to continue to do so in order to balance the obligations with liquidity that we have on hand. In terms of the actual financing needs, it is variable and it’s dependent on the success of debt restructuring, both the 5.75% notes, the COFACE facility and our other obligations. So, I can't give you a specific number but we are in a process right now to seek the proper financing to satisfy our obligations and come to a fully funded business plan. That financing, as you can imagine is contingent on successfully completing a number of milestones, including getting past the fourth launch which of course was successful and also successfully renegotiating the 5.75% notes. So, I think as we are successfully passing these milestones, the liquidity picture will be much clear. First things first, we need to figure out and properly amend the 5.75% in the next couple of weeks, and hope to provide a little bit more specific guidance on how much we are going to raise and what the liquidity demands are in the Q1 conference call.
Jim McIlree - Dominick & Dominick: Okay. I hear you. Thank you, Tim. So the -- and as far as the Phase 3 satellites go, spinning on that will be dependent on like you said, how everything else shakes out?
Tim Taylor: That’s correct.
Jim McIlree - Dominick & Dominick: Okay. Great. That’s very helpful. Thank you. Rebecca, you talked about equipment revenue down year-over-year in the SPOT business and you attributed that to some reason but I just didn’t quite understand what you were getting at. Could you try that one more time for me?
Rebecca Clary: Sure. One of our SPOT products just released in early 2011, I believe in March and so it just resulted in unusually high demand in that period. So when you look at the comparable periods, you just see a decrease from ’11 to ’12.
Jim McIlree - Dominick & Dominick: And so when we look into 2013, I think Jay talked about new products coming in the SPOT business. Does that have -- does that potentially, assuming success in that product result in the same kind of profile that you saw in 2011 or you did get a big step up in the quarter?
Rebecca Clary: Absolutely. We definitely expect.
Jim McIlree - Dominick & Dominick: Okay. Great. And then on that same issue. It sounds like some of these SPOT products might have a lower ARPU than existing SPOT products and it sounds also like some of these SPOT products might have a lower equipment price than existing SPOT products. Did I hear that correctly?
Rebecca Clary: So, SPOT ARPU are different products, basically have the same basic rate plans. But subscribers can opt to add different tracking components to their rate plans. So, ARPU is really a function of that from a SPOT perspective. For the equipment pricing, we did adjust the price of our SPOT 2, just as we gear up for release of SPOT 3 and trying to deplete the inventory out there related to that product. Does that answer your question?
Jim McIlree - Dominick & Dominick: I was referring to a comment Jay made where he said -- I think he said, it’s going to broaden the market for tracking of anything and when I heard that I just assume that meant that definitely you were going to come out with a much lower price, much lower ARPU device where you could stick it on anything and that's what I heard or that’s what I implied when that comment was made.
Jay Monroe: Jim, there is definitely the possibility for us to bring out products, which cost less and would receive potentially a lower ARPU. We haven’t priced the products yet for the marketplace and SPOT, Jim, 3 will not beat that profile. But some of the future tracking products, which are intended to broaden the market, could be products, which we would price differently and we would have pricing plans that were different. At this moment, I can't say what that would do to ARPU. But the only reason, we would do it is because we believe that we would be able to sell quantum’s more than we are selling right now in regular SPOT products. And so we will make that logical trade-off at that point. But the underlying technology that we use for these products is less expensive now for us, because we have taken what used to be a board and we’ve turned in into a single chip. And as we take cost out of it, we do retain a lot more flexibility.
Jim McIlree - Dominick & Dominick: Okay. Great. I understand. And then lastly on the duplex. ARPUs for this year, by year end do you have any customers on the old rate plans or has everybody migrated?
Rebecca Clary: No. We are actually just initiating that conversion project. So we’ve got a substantial amount of customers left two contacts and to convert.
Jim McIlree - Dominick & Dominick: Okay. So that that transition will take place.
Rebecca Clary: Over the next several months.
Jim McIlree - Dominick & Dominick: Over the next couple of years?
Rebecca Clary: Months. We price and dice the subscriber base and it is a strategic process. So in 2012, we targeted specific pool of customers on a specific rate plan and bump them up to the then, $40 a month unlimited plan. We were successful in doing that and Phase 2 of that project, we will be targeting a group of customers who aren’t truly usage based plans are old usage based planed who aren’t heavy users, we will reach out to those customer reengaged them, get them back on the network and then we will go from there. So it’s a process and it compensate.
Jim McIlree - Dominick & Dominick: Okay. Well, let me ask in a different way. Then, so for the ARPU that grows throughout 2013, is it a steady March up into the right or is it your flat and then you have a step function up on your flat and then you have a step function?
Rebecca Clary: We can only increase. So with each subscriber that’s been added to the network, they are coming on at higher rate plans than our current ARPU levels. So you are going to see plan into the right but then you are going to see more of a hockey stick in the second half of 2013. Because we are just going to be bringing subscribers on at higher -- just the peer number of subscribers will be higher.
Jim McIlree - Dominick & Dominick: Right. Thank for that answer. You made it much clear than my purely boarded question was getting solved. Thank you so much. All right. Thank a lot, good luck.
Rebecca Clary: Thank you.
Tim Taylor: Thank you
Operator: We have no further question at this time. I’ll turn it back to Mr. Monroe for any closing remarks.
Jay Monroe: If there are no other questions, I think we’ll sign off here in a moment. Thank you all for listening and I hope that landline quality was satisfactory compared to the quality of the satellite service, which was obviously better and look forward to talking to everybody again in another 60 or 90 days. Thank you very much.
Operator: Thank you. Ladies and Gentlemen, this concludes the fourth-quarter 2012 Globalstar Incorporated earnings conference call. Thank you for participating. You may now disconnect.